Operator: Greetings and welcome to the Century Communities Third Quarter 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Mr. Scott Dixon. Thank you, you may begin.
Scott Dixon: Good afternoon. We would like to thank you for joining us today for Century Communities third quarter 2017 earnings conference call. After the market closed today, we distributed a press release detailing our third quarter financial results. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management’s current expectations and beliefs, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. The company undertakes no duty to update any forward-looking statements that are made during this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The Company’s presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Management will be available after the call should you have any questions that did not get answered. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, Co-Chief Executive Officer; and David Messenger, Chief Financial Officer. With that, I will turn the call over to Dale.
Dale Francescon: Thank you, Scott. Today on the call, I will review our home building highlights and business updates. Rob will then discuss our home building markets afterwards Dave will follow up with further details on our financial results balance sheet in 2017 outlook. Following our prepared remarks, we will open the lines for questions. We are very pleased with our third quarter 2017 results, which achieved record levels of revenues, delivery, backlog and adjusted net income among other metrics. This strong pace of activity during the quarter was generated from continued performance in our legacy markets coupled with solid contributions from a partial quarter results in new markets acquired through the UCP merger particularly in the West. Our strong operational performance during quarter led to net income of $9.5 million excluding the impact of one-time charges related to the UCP transaction. Our adjusted net income was $18.8 million, an increase of 40% from the prior year's quarter. We believe this adjusted net income number provides a better comparison of our financial results from period to period. We experienced double-digit home price gains for the fifth straight quarter, combined with a 37% increase in home deliveries, we increased our home sale revenue to a record $375 million, an increase of 51% from the prior year quarter. This progress is a result of our multi-year execution on our business strategy which includes a diverse national homebuilding platform built primarily through acquisition of other homebuilders. A focus on locating our operations in attractive markets with sound fundamentals and a commitment to maintaining a strong balance sheet, to allow us to acquire land and roll out new communities in new and existing markets in order to continue our positive momentum. In August we were excited to complete our merger with UCP, which solidifies Century's position as the 16th largest public homebuilder in the U.S. and builds on our track record as one of the fastest growing U.S. homebuilders. We continue to expect this transaction to be accretive to our 2018 earnings per share due to economies of scale, operational efficiencies and cost synergies that we expected began realizing in 2018. With UCP's well located lots particularly in the high growth markets of California and Washington coupled with Century's strong capital base and tenured homebuilding experience we believe we can improve the historical velocity and margin profile generated from these land positions. The integration of our two businesses is progressing according to plan and we're already operating under one Century Communities' brand in all markets. We're pleased with the continued expansion of our financial services group which provides mortgage entitled services to our homebuyers. We began this operation in the fourth quarter of last year and it has now delivered its second straight quarter of profitable growth; while we're still in the early stages of this effort we view this business as an attractive driver of incremental profits and enhanced returns on equity. Our joint venture partnership with Wade Jurney Homes has provided us with significant additional exposure to first time buyers through a high returning asset like model. Since the inception of the joint venture in November 2016 our share of income from the venture has totaled nearly $8 million clearly a great return on our investment of $18 million. We were very pleased to be recently recognized by Fortune magazine as the 26th fastest growing company in United States. On a list that included the lives of Amazon and Facebook. Our number one rank in annual revenue growth along with double-digit growth in earnings per share and strong stock returns over the past three years allowed us to earn inaugural position on this list of 100 companies. In addition to this order the third quarter 2017 was momentous for Century Communities in many ways. Expanding our geographic reach into 10 states as a result of the consummation of our transaction with UCP was very constructive and moving forward our goal of growing the company both organically and though acquisitions into one of the largest and most profitability U.S. home builders. Our issuance of a $120 million in equity between our UCP and ACM transactions allows us further ability to put our balance sheet to work with additional investments in our home building operations and other avenues that provide attractive returns. Achieving record levels in revenues, deliveries, backlog and adjusted net income puts us in even a better position to advance our long-term growth strategy and further expand our returns on equity. As we look forward into the fourth quarter, 2018 and beyond we're very excited about our prospects for enhance growth and profitability in this positive home building environment. I'd now like to turn the call over to Rob to discuss our markets in greater detail. 
Rob Francescon: Thank you, Dale, and good afternoon, everyone. Our continued confidence in the home building industry is reinforce by low rates, tight supply, strong demand and expanding house hold formations. We're benefiting from our strategic decision to position ourselves in some of the best housing markets in the nation. Our third quarter operating performance was record breaking with significant growth in deliveries and home sales revenues as well as the number and value of home sold in backlog. We experienced considerable operating momentum and price gains as we capitalized on favorable demand trends in our markets. Third quarter net new contracts grew 46% to 914 homes with organic growth accounting for more than half of that growth led by Mountain and Southeast regions. This was made possible by our absorption pace improving by 28%, which was encouraging. We ended the quarter with homes and backlog up 68% to a record 1,664 homes representing a backlog dollar value up 81% from the prior year to $689.3 million. This significant increase in backlog homes and value positions us well for a continuation of strong results and earnings. We continue to expand land inventory in our markets including the recent startups in Utah and Charlotte where we're now building selling and closing homes as we continue to scale these operations. We ended the quarter with land inventory of 31,996 lots in some of the most robust U.S. housing markets. We’ve demonstrated our ability to deploy capital at attractive returns and we see many opportunities to replicate that success in both new and legacy markets. At quarter end approximately 55% of our land was controlled rather than owned compared to less than a third as recently as 2015. We expect to continue sourcing additional land parcels with the similar maybe towards control land to accelerate our scale while preserving our financial flexibility. looking at our market portfolio overall new residential activity continues to perform well. Beginning with this third quarter 2017 we began reporting our home building metrics in four U.S. regions consisting of west mountain, Texas and Southeast. I will walk through my comment today in accordance with our new region structure. Staring with our mountain region we experienced significant growth with contracts up 40% year-over-year. This improvement reflected solid demand in Colorado and Nevada along with more meaningful production out of our Utah operation. Each of our markets in the mountain region is benefitting from job growth limited new home inventory and low resell supply of less than three months supporting both good demand and some price appreciation. In Texas, we increased our lot positions by 75% year-over-year. We are experiencing an increase in demand as we continue our pivot to lower price point as highlighted by net sales up 64%, home sales revenues up 41% and backlog up 54% year-over-year. Overall, we are encouraged by these strong trends. In Houston the impact of hurricane Harvey on that market was tragic however we were fortunate to emerge with limited damage to our communities, we have already seen a resurgence of demand in our communities as perspective buyers look to a fresh start. Looking at for Southeast, while we have had some delays from hurricane Irma in Atlanta the opening of several communities in Atlanta along with the addition of UCPs operations in Tennessee and the Carolina's allowed us to produce favorable results across all metrics including a 35% increase in backlog given at and a 46% increase in the backlog value. In Tennessee and the Carolina's, we are on track to ramp-up community openings in coming quarters to capture the robust pace of home buying activity in these exceptionally strong areas. Higher construction cost is increasingly prevalent in certain parts of the Southeast as well as nationally, so we are managing cost carefully to continue to delivering homes at attractive margins. In August, consistent with our business strategy of focusing our home building activities in top performing metropolitan areas we sold the operation in Myrtle Beach, South Carolina that we acquired in the UCP transaction and excited that market. Looking at the west, we are firmly situated to take advantage of positive economic employment and population trends through a combination of well-located communities and attractive product offerings across the diverse buyer segment. In Seattle which is benefitting from record lower inventory we recently increased our position in capital investments with the acquisition of the assets of sun quest homes. Sun quest homes has the 40 plus year of tradition of delivering quality homes. The Seattle home building climate is one of the strongest in the U.S. and according to the most recent case [Sherlock Holmes] price index is ranked as the fastest depreciating major market at 13% year-over-year. We are now even better positioned to drive significant operating efficiencies due to our augmented scale which on a combined basis puts us in the top 10 for homebuilders in this robust market. In California we have also begun to strengthen our land positions by acquiring additional lots since entering that market. All of our California markets which include the Bay Area, Central California and Southern California are experiencing positive traffic, sales, and price appreciation trends with strong economic backdrops that give us additional confidence in our New west region. Overall, we are encouraged by the home building momentum in our markets. We believe our positions in these attractive regions of the country will continue to drive meaningful growth in new contracts, home deliveries and earnings from our expanded geographic footprint. We intend to continue strengthening our presence and vibrant markets in order to continue growing revenue profitability and returns on equity. I will now turn the call over to Dave who will provide greater detail on our financial results for the third quarter.
David Messenger: Thank you, Rob. During the third quarter of 2017, we dramatically expanded our business completed a number of attractive investments and ended the quarter with a strong balance sheet. Net income for the quarter was 9.5 million while adjusted net income excluding onetime UCP related charges of 7.2 million in acquisition expenses and 6.2 million in purchase price accounting with 18.8 million or $0.73 per share compared to 13.4 million or $0.63 per share in the prior year quarter. Adjusted EBITDA grew 23% to $32.5 million, compared to $26.4 million in the prior year quarter attributable to revenue growth. Home sales revenues for the third quarter were record $374.9 million, an increase of 51%, compared to $248.1 million in the prior year quarter. This improvement in revenues was mainly driven by a 37% increase in home deliveries to a company high of 968 compared to 706 homes in the prior year quarter. We recorded higher prices in all of our regions to produce an average selling price of 10% to $387,300 in the third quarter of 2017, reflecting favorable product mix and core price momentum. Our adjusted home building gross margin percentage excluding capitalized interest and purchase accounting impacts from cost to sales in the quarter was 21%. This represented another quarter of stable margin performance. Our unadjusted gross margin percentage on homes closed in the third quarter was 17% compared to 20.3% in the prior year quarter driven by increases in our financing acquisition purchase price accounting and material costs. As a reminder during the third quarter and for the next several quarters we will continue to see purchase price accounting impacts that generate gross margin in the 8% to 12% range on UCP deliveries for homes under construction prior to the acquisition. We expect nearly all of that inventory to roll through the system over the next two quarters. Excluding this onetime impact, we continue to project a stable margin profile for our portfolio as we begin to monetize the UCP portfolio and enhance, natural purchasing synergies and other cost savings initiatives made possible by our larger scale. Regarding our material pricing we are experiencing increases in a variety of categories, including lumber, drywall and concrete. despite these increasing inputs we have continued to deliver a stable adjusted gross margin percentage. SG&A as a percent of home building revenues declined to 12.3% for this quarter compared to 12.5% for the prior year quarter; this was a result of home sales revenue increasing 51% over the prior year, which more than offset investments in personnel to support our growth, ramp up of new divisions and UCP transition related costs. We expect to continue to leverage our platform as our three startup operations, Utah, Charlotte and financial services continue to grow and the integration of UCP operations is completed. Now turning to or balance sheet liquidity, as of September 30, 2017 we had total long-term debt of $776 million with total liquidity of 501 million including 101 million of cash and the full availability of our $400 million. Our net debt to capital ratio stood at 51.8% at quarter end. During the quarter we issued approximately 400,000 shares under our ATM for $10 million or $24.60 per share. We also issued approximately 4.2 million shares of Century common stock in connection with the UCP transaction resulting in a broadening of Century's investor base and improvement in share liquidity and a total increase in our stockholder's equity of $120 million to 653 million. Moving to our outlook for 2017, the expanded scale of our business across an even more diverse footprint provides us with additional stability in our results and enhanced visibility into our business moving forward. Based on our current market outlook we continue to expect our full year deliveries to be in the range of 3,500 to 3,800 homes and home sales revenues to be in the range of $1.3 billion to $1.5 billion. We now expect to have 115 to 125 signed communities at year end. We're extremely pleased with our operating and financial progress to-date which has provided us with an exceptional platform to benefit from the exciting prospects for our business in years to come. Furthermore, we look forward to realizing meaningful synergies from national purchasing advantages and better SG&A efficiencies especially as we move into 2018. We've a very strong pipeline of backlog homes to achieve our strategic growth objectives while improving our earnings per share and return metrics. Operator please open the lines for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Michael Rehaut from JPMorgan. Please go ahead.
Michael Rehaut: I was interested -- for first question, I really applaud the decision to exit a smaller market like the Myrtle beach market where you decided that there wasn’t enough scale or profit or what not that it just didn't sit, the business model, I'm curious obviously you're expanding in a couple of new markets and your broader strategic focus is continuing to -- in part continue to grow and expand to a large degree, but again I love the balance of exiting that smaller market you've deemed not a good piece. I'm thinking about Texas where couple of years ago when you went into a couple of small acquisitions you started to get a decent amount of growth in the state of Texas this quarter, which is encouraging. I'm curious you know when you look back your different markets in Texas if any of them you could maybe seem similar to a Myrtle Beach where you are just not at the point of necessary scale and you think that perhaps your investment dollars could be better to better serve the company in markets where you have much bigger presence. 
Dale Francescon: Mike this is Dale and when we look at Texas we're in three major markets, Houston, Austin and San Antonio and we’re committed to each of those markets and when we look at the size of those market we think that it fits our investment criteria very well, Myrtle Beach was just never going to get any scale and when we look at it it's just really didn't fit our overall strategic business plan which is to concentrate on major markets in the United States that we believe we're going to have outsourced performance over a period of time. In fact, in Texas on other things we done over the last year, is we had a, what we consider to be central Texas region that included over San Antonio and Austin, we split those into two markets and we actually have division presidents in both markets and we’re investing and growing all three of our markets in Texas, we view that as an area that we have a tremendous opportunity because we do have a small, yet there is a lot of demand in all of our markets. 
Michael Rehaut: Understood that’s helpful thank you. I guess shifting gears a little bit, and this might be more of question for Dave, as I look at the gross margin, you obviously have the impact, roughly in line with what we are looking for in terms of purchase accounting on 3Q, right now in terms of our model we're looking for a greater impact and 4Q I think as you get a full quarter impact of the purchase accounting closer to the 18% range before interest. I was wondering directionally if that’s right and then you know looking forward into 2018 there was a reiteration on a view of cost synergies and increased efficiencies from UCP, wanted to ask around the potential for getting that gross margin back to prior corporate averages or even above that and what I mean by that is something in the low 21s for 2018. 
David Messenger: Mike this is Dave, I think there is a couple here. So the first one being and what we're seeing for first impact in the fourth quarter, I think as I said in my prepared remarks the acquired inventory from UCP, the first quarter, the first quarter and the third quarter we saw a 6% to 10% margins, now we think it will be 8% to 12% depending on the number of homes that we also we closed in the fourth quarter will determine what the significant -- the total magnitude with those dollars, the ramp we're going to have three, four months versus two, so it's possible that those dollars for the purchase price accounting impact due increased compared to third quarter. And looking at 2018, kind of around the synergies, you know I think that as we are starting to get into this transaction we are now three months into the merger reduced UCP as we've been going through their operations, our operations historically we had a synergy range 5 million to 8 million now I would say we are probably looking at a synergy number in excess of 10 million so I think we receive some definite positive benefits of those transaction for both sides.
Michael Rehaut: And just one last one if I could on the SG&A side obviously investing a lot today in the different start-up operations which more or less is largely resulting in only a modest demand of leverage should we expect that to kick in a little bit more forcefully in 2018 in other words have the investments largely occurred and therefore next year you'd be in a position more to leverage revenue growth in a more typical fashion or would you expect more investment?
David Messenger: And I would say that assets other initiatives to company undertakes that you have to look at you know, take todays operations fast forward into 2018 we have been carrying up to help three start-up operations between Utah, Charlotte and the Financial Services Group. Those three have really been going through a lot of their maturities this year and coming up to speed. You are looking Utah starting to deliver homes, Charlotte now with the merger of the UCP division is delivering homes and you are looking at financial services but we've been very pleased that when you look at their run rate we are starting that fourth quarter of last year nine months into their existence and we are able to start to deliver profits based on that for two quarters in a row now as that gets roll out to the rest of the company through the balance of 2017 we think all three of those investments start contributing on a revenue line and more significantly into 2018 which will allow us to leverage more of the SG&A. And then the other component we have is obviously we're still new into the merger of the UCP transaction so near term our SG&A runs a little bit higher than we want but I think that in 2018 as these investments share kind of a maturity more of a run rate style and then the synergies on top of that and you see those leverage, leverage those platform on a more typical basis.
Operator: Our next question is from Nishu Sood from Deutsche Bank. Please go ahead.
Nishu Sood: So good to see the increase for the community comp guidance. I was just hoping if you could parse out what exactly gives you the confidence to get that number up is it kind of on the UCP legacy sides, Centaury legacy or was it due to the acquisition in Seattle. I think we quickly counted around four communities there.
David Messenger: And so, I think as we sit here today being November 2, a third of the way into the quarter we have a little bit more visibility into where the portfolio is for the next two months and what we expect to be opening and what we expect to be closing out so that gives us the confidence to move that number moving up a little bit.
Nishu Sood: And then I guess now that we are through October and that same train of thought how did the growth in October performed versus expectations both on the legacy I guess on the acquired side as well?
Dale Francescon: So, on net sales standpoint in October year-over-year were up 50% in excess of 50% excluding the west on the UCP acquired assets were up over 25% on the on the legacy business. So, October turned out to be a really good month from a net sales standpoint. And as we are going into the balance of the fourth quarter we are optimistic that that’s going to hold.
Nishu Sood: Quickly follow on to that. One of the absorption comps I guess on that, or what was the absorption growth on a legacy in that basis in October?
David Messenger: It's just similar to what we have experienced in the third quarter.
Nishu Sood: And then I guess my second question is on to Wade Jurney. So, the returns have been extremely impressive much higher than what we had been expecting. I think you initially guided to the second quarter where we can see some profitability out of it, and so we have been seeing that that now the third quarter getting a lot too. I'm just curious as to -- is it still outperforming your initial expectations because I guess what's going right there and if it's not how far do you expect us to this potentially if you go and contribute to the bottom line.
Dale Francescon: This is Dale. So, when we look at the expectations we were very comfortable with the investment up funds way journey homes for the last two years has been ranked as the fastest-growing private homebuilder in the country. And its continued on that same trajectory. So, when we look at it while we had high expectations, I would say it has exceeded even those high expectations.
Operator: Our next question comes from [indiscernible] from B. Riley. Please go ahead.
Unidentified Analyst: Could you talk a little bit more about Sundquist acquisition, maybe what you paid for and how many [indiscernible] required and so on?
Dale Francescon: So Sundquist is obviously in Seattle, a market that we entered through the UCP transaction our division in Seattle is relatively new and relatively small. And one of the focuses that we had in all of our UCP markets is to grow them as we indicated when we did the transaction with UCP they were constrained on capital which held back their growth in the number of markets. And that was one of the things that we could bring to the portfolio and to the merged operations. And so, acquiring the assets of Sundquist fit right into that plan to increase it even though it's a relatively small transaction in terms of size, it just about doubles the operation that we had previously in Seattle. So, when we look at it we acquired give or take 300 lots owned and controlled in our investments was just over $51 million. When we look at the acquisition we anticipate that will generate less than 1% of the purchase price as goodwill and intangible. So, we purchased with old lots as well as a controlled lot portfolio. The other thing that it did as it allowed us to leverage additional people we acquired a number of the people from the Sundquist operation and they are now century employees and they bring a depth of experience in the market this was a homebuilder that had been in business for in excess four years. So, as I'm sure you can imagine they had very deep land contacts. During the negotiation of the transaction they continued to bring land transactions to us, we've identified another 200 to 300 lots that we're in the process of exploring related to just the Sundquist people, coupled with another 1,000 or so lots that are owned, Century people were already working in terms of a land portfolio, so it's a market that we've focused a lot of effort on, we intend to continue growing it and Sundquist was a nice first step.
Unidentified Analyst: It would appear that the lots owned in Texas increased quite a bit sequentially, any more color on that?
David Messenger: Well so in Texas, we've made a pivot now for a couple of quarters to go into a more entry level price point and so we've rolled out new product in that market our Century complete line and we've kind of a different strategy in that market on how we're going about deals, the type of land we're sourcing and kind of the makeup of that land. And so, as a result we kind of started that process a couple of quarters ago, had tremendous success at that point and now we've continued to add to it. And as Dale spoke earlier, that's why we broke off Austin and San Antonio into two separate divisions we feel that we can't get up to scale on all three divisions at a relatively quick period of time where we start having a very meaningful bottom line coming out of the Texas region on a go forward basis and so it's entry level driven is where the focus is in that market, it's efficient product, it's margin driven as well, we like the margins that are coming off these entry level projects and so we see continuing that business strategy in the state of Texas.
Unidentified Analyst: And lastly the tax that was introduced in Washington today and it seems to create a lot of chatter around the street, could you -- as best you can sort of address your initial high-level thoughts on the impact to homebuyers the tax has?
David Messenger: I mean needless to say the details out are fairly minimal and in all of these types of builds that will probably change quite a bit before it's actually enacted into law assuming it ever is, but based on the information that's been out we have looked at our business and tried to get an idea of what we think the impact would be on Century, obviously lowering the tax rate would be a positive, when we look at the impact of the adjustment of the mortgage deduction at $500,000 loan amount if you assume a 20% down payment, that translates to a $625,000 sales prices. If you look at our ASP in the third quarter it was 387,000 so obviously significantly below that and we also went back and looked at our backlog and we've a small percentage of our homes that have an ASP in excess of 625,000, so when we look at it we see that there're certain things that are probably -- may not -- maybe somewhat of a negative impact but we think all-in-all with the change in the corporate tax rate would more than offset any impact there coupled with the fact that we have very small exposure to high end homes. 
Operator: Our next question is from Jay McCanless from Wedbush Securities. Please go ahead. 
Jay McCanless: First question I had, on deliveries in the quarter, was there any delay because of the hurricane season in Texas or Georgia that may be some closing from 3Q to 4Q. 
Dale Francescon: So, we had some slight delays in both markets. Atlanta where the hurricane obviously didn't hit Atlanta we lost some crews out of Atlanta that went down to Florida mostly power crew related which delayed some closings, and then obviously Houston had some delays as well, then I think most of the builders have reported, with that said those aren’t loss sales, those are just timing difference and those will move into the fourth quarter. 
Jay McCanless: And then on the Sundquist transaction, should we expect any SG&A hit from that this quarter and also what is that going to initially add to backlog etcetera from which all required. 
David Messenger: As I said earlier Jay, it was a relatively small transaction, we anticipate that between now and the end of the year we will deliver about 20 houses or so out of the Sundquist portfolio and is, while its meaningful for operation in Citadel it's not really meaningful for the overall company in Q4. And going forward we like it. 
Jay McCanless: Definitely. The next question I have with all of the new markets that you entered into more Citadel closings in the mix what, as you think about your plan for next year where do you think the ASP look like, I mean is there any sort of 400ish number low, 400ish number mid, 400, what’s your opening these ASP going to start checking out for '18. 
Dale Francescon: Well we're not ready to be providing guidance for '18, because we're kind looking at, where the portfolio is today. We're closing homes in the quarter 387,000 our backlogs out of 414,000 and we expect our ASP to be relatively consistent with what we saw in the third quarter as we move forward. 
Operator: Our next question is from Alex Barron from Housing Research Center. Please go ahead. 
Alex Barron : I wanted to as I guess about Wade Jurney and also what is the plans there in terms of expanding that to other markets and what you expect the growth rate to be pretty significant there, I think I read somewhere that they were quoted as saying [indiscernible] like 50% next year but just kind of curious if that’s a realistic number. 
Dale Francescon: I think you have met Wade before Alex, Wade is a true entrepreneur, has high growth expectation and the business not only are we growing in his legacy markets, and specifically Atlanta is growing now which was a new market at the beginning of this year, he is really growing that, Florida is well as growing and then new markets we're going into new markets and so Phoenix is going to be one that we are going into here in the fourth quarter.
Alex Barron : And also, I guess along the lines of the recently announced merger between [Indiscernible] I'm wondering what your thoughts are on being open to something like that to yourself or you plan on just growing the way you are at this point?
David Messenger: Alex, we've been pretty transparent in the sense that but we are focused on growing Century into a much larger home builder and one that is even more profitable than we have today. With that being said we've always been open to transactions that maximize shareholder value. So, when we look at that we view ourselves as we're stewards of capital and we're going to do what's right for the business right now what appear to us we are right for the business continue to grow it and make it a more valuable company and what that translates into the future will just depend on the future.
Operator: Thank you. This concludes the question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Dale Francescon: Thank you, operator, and thank you again to everyone for joining us today. We look forward to speaking with you again next quarter.